Operator: Thank you for joining Packaging Corporation of America’s fourth quarter 2008 earnings conference call. Your host today will be Paul Stecko, Chairman and CEO. Upon conclusion of the narrative there will be a Q&A session. I will now turn the conference over to Mr. Stecko.
Paul T. Stecko : I appreciate you tuning in to our earnings release call. On the call with me today is Rick West, our CFO, Bill Sweeney who runs our corrugated products business. As the operator just said, once we complete the formal part of the presentation we’ll be more than glad to take your questions. I’ve got a slight bit of laryngitis so Rick’s going to help me through some of this script and I am going to let him start it off and then I am going to pick it up.
Richard B. West : Yesterday we reported fourth quarter earnings of $30 million or $0.30 per share. This compares to record 2007 fourth quarter earnings of $44 million or $0.42 per share. Net sales for the fourth quarter were $546 million compared to $580 million in the fourth quarter of 2007. Full year net income was $136 million or $1.31 per share. Full year net sales for 2008 and 2007 were $2.36 billion and $2.32 billion respectively. Despite unusually high cost inflation in the first half of the year and the severe economic downturn in the fourth quarter this is our second best earnings year excluding a large timberland sale in 2000 since becoming a standalone company in 1999. The only year with higher earnings was 2007 at $170 million or $1.61 per share. The lower fourth quarter earnings this year were driven by the severe downturn in the economy that significantly lowered our sales volume, led to record production down time in our mills and increased operating costs all of which reduced earnings by about $0.21 per share. In addition, higher costs for energy, chemicals and labor and benefits taken together reduced earnings by about $0.11 per share. These items were partially offset by higher pricing for container board and corrugated products that improved earnings by about $0.18 per share and a lower tax rate which improved earnings by $0.03 per share. We’ll break down some of these numbers further a little later in the presentation. Now, I’ll turn it back over to Paul.
Paul T. Stecko : This past quarter was also the most difficult quarter PCA has faced operationally. Corrugated product shipments were down about 50,000 tons or 9.9% both in total and on a per work day basis compared to last year’s fourth quarter. The number of work days were the same as last October but we had two less work days this November and had two more work days in December making it very difficult to assess shipments by month either using a per work day or a total shipment basis. Nevertheless, our total corrugated product shipments were down 7.7% in October, down 19.6% in November and down only 1.7% in December. I don’t think November was as bad as the total shipments would suggest nor do I feel December was as good but, December was certainly a lot better in total volume up 6.5% over November. Higher total shipments in December over November is quite rare for us and the industry happening only one other time in the last 10 years. For the year, corrugated product shipments were down 2.9% and on a per work day basis with one more work day down 3.3%. Our outside container board sales were also down significantly from last year’s fourth quarter with domestic container board shipments down 27,000 tons and export shipments down 8,000 tons. To match supply with lower demand we lowered mill operating rates reducing production 10,000 tons in October, 35,000 tons in November and 45,000 tons in December or a total of 90,000 tons for the quarter. This is by far the most down time our mills have ever taken in any quarter for any reason, annual outages or marketing related, dropping mill production to only 533,000 tons. Overall, our system operated at about 85% of capacity during the quarter but, we were able to end the year with our container board inventories 2,000 tons lower than last year. I mentioned earlier that higher corrugated and container board pricing improved our earnings by about $0.18 a share over last year’s fourth quarter. As we reported in our third quarter earnings call, our August box price increase was essentially completed by October 1st so we were able to achieve a full quarter’s price realization in the fourth quarter. This along with an outstanding job managing costs during our slow backs and shutdowns in our mills and in our box plants were major reasons why we were able to earn $0.30 per share this quarter. Looking at some individual costs, total fiber costs were flat. Recycled fiber prices were down about 40% compared to the fourth quarter of 2007 improving our earnings by about $0.03. But, wood fiber costs were higher reducing earnings by the same $0.03 per share compared to last year. Our wood fiber costs did go down as the quarter progressed however with December wood prices about 4% less than the third quarter average. This is somewhat unusual as wood costs historically go up in December as producers try to build winter inventories. But, with all the down time we were able to cut out a large portion of our highest cost wood and still maintain adequate wood inventories. Looking at energy and energy related costs, transportation costs were up only $0.01 per share compared to last year’s fourth quarter reflecting both lower diesel costs and the availability of more trucks with the economic downturn. Our fuel costs were up about $0.03 per share over last year’s fourth quarter and electricity costs were up about $0.01 per share. We realized only modest improvement from lower natural gas and fuel oil prices because of our low usage and in the second quarter with natural gas prices continuing to increase we did purchase physical contracts with national gas suppliers to deliver some of our natural gas at a set price for the second half of 2008. Compared to today’s natural gas prices, our fuel costs were about $0.015 higher in the fourth quarter because of the higher costs of our contracts. Chemical costs were up about $0.03 per share over last year’s fourth quarter and that was primarily caustic soda. We do not see chemical costs coming down much in the short term as caustic soda continues to be in short supply. Higher labor and benefits costs reduced fourth quarter earnings by about $0.03 with medical costs representing $0.01 of this cost increase. Rick, I’ll turn it over to you to get through some of the other financial information.
Richard B. West : Our tax rate was lower than this year’s fourth quarter than last year which benefited earnings by $0.03 per share. Also higher interest expense reduced earnings by $0.02 per share primarily from lower interest income on our cash investments and we also had charges of $0.02 per share for higher legal and bad debt reserves compared to last year. Finally, earnings benefited by about $0.02 per share because the higher than normal LIFO inventory valuation charge that occurred in the fourth quarter of 2007 did not repeat this year. Turning to cash utilization, capital expenditures were $35 million for the quarter and for the year cap ex was $133 million. During the fourth quarter we repurchased 1,122,000 shares of our common stock for $20 million at an average price of $18.11 per share. We ended the year with $149 million cash on hand. We have $109 million drawn on our $150 million on balance sheet receivables credit facility and our $150 million bank revolver remains undrawn except for $20 million in letters of credit. We have no long term debt maturities for five years with our $400 million and 5.75% notes due 2013 and our $150 million and 6.5% note due in 2018. Our total long term debt at year-end excluding capital leases was $657 million net of debt discounts of $2 million. At year-end the average cash interest rate on all of our debt was 5.5% which equates to only $36 million in annual interest expense. Looking ahead to the first quarter, we will take our Valdosta mill down in February for its annual maintenance outage. Normally, this would be an eight day outage but, with anticipated market related down time we are spreading this outage to 16 days to eliminate the need for outside contractors and expensive overtime and will do most of the work required with our own employees. It takes longer this way but the labor cost savings helps to significantly reduce the cost of our total down time. Our Counce mill is normally down in the first quarter also but the timing of equipment deliveries for a major energy savings project required us to move the Counce outage to April. We also expect lower container board and corrugated product sales volumes and significant production downtime with increased costs until the economy improves. Energy usage will be higher with colder weather and we also expect higher chemical costs. Certain timing related benefit costs are the highest in the first quarter and we expect a higher tax rate. Finally, we should see some benefit from lower transportation and wood fiber costs. With current economic conditions and the associated level of uncertainty, we estimate our first quarter earnings to be about $0.20 per share. With that, we’d be happy to take any questions but, as always I must remind you that we made some forward-looking statements on this call. These statements are based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties including the direction of the economy and those identified as risk factors in our annual report on Form 10K on file with the SEC. Actual results could differ materially from those expressed in these forward-looking statements. With that I would ask the operator to open the phone lines and we’d be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from Mark Connelly – Credit Suisse.
Mark Connelly – Credit Suisse: My question is about your customer base it’s got a couple of parts, we think of your customer base as being comprised of smaller [inaudible] orders, can you talk about the relative cyclicality you see in your customer base versus the industry data that you’re looking at? Can you also comment on the relative credit quality of your account receivables right now?
Paul T. Stecko : Let me comment, in terms of the customer base we don’t only deal with small companies, we do a lot of business with big companies but we simply have a smaller share of that business in terms of business that we think there are hard to do things where we can get an adequate price for what we provide. We do a lot of business with a lot of big companies we just don’t have large positions in a particular company except for a few. With regard to cyclicality basically we’re seeing across the board in the bulk of our business which is food and food service it’s down about half as much, down maybe 5%. But, when you get in to troubled industries, building products, automotive, you’re looking at 30%, 40%, 50% declines. So, when you average those you jump up to maybe the 10% down in terms of our volume. It’s not really dramatically different than the industry. You lead me to a good point, in November and October, on average we were down 13.5%. The industry was only down 11.5% so pretty close. I think the encouraging thing that I’ve seen is that as I said in the call, our December volume was up 6.5% over November and if the industry volume follows, in other words they keep the correlation with us as they did in October/November, then that would bode for a pretty good inventory reduction that could occur in December because not only is production down 340,000, 350,000 tons, demand on a total volume basis could actually turn out to be up 100,000, 150,000 tons if that correlation continues. But, we’ll have to wait a little while to get those numbers. We’re not really that dramatically different than the industry it’s just we don’t have a lot of large positions in a lot of companies.
Mark Connelly – Credit Suisse: Paul, should I infer from those comments then that your customer base didn’t change much in December, that you didn’t pick up a lot of new customers?
Paul T. Stecko : Very little, very little. Basically our fall off in volume came from existing customers basically ordering 10% less than they use to because their business is off roughly 10%. There is very little turn over in customers.
Operator: Your next question comes from George Staphos – Bank of America Securities.
George Staphos – Bank of America Securities: If we can go back to the more consumer packaged goods types of markets and then you mentioned food and food services. I guess food and food service, it makes sense in terms of why it would be down but what are your more staple oriented customers saying about way their seeing demand down? Is the consumer continuing to just take inventory down within the pantry? And, how long do they think these -5% growth rates in food and related might continue, any sense? Then similarly, you gave some directional guidance, what do you think early January trends or what are you seeing in early January trends thus far within the business? Then, a couple of follow ons.
Paul T. Stecko : The first part of that question is pretty easy, there’s no consensus, every customer has an opinion about their business and where things are going. I would say the general consensus is basically what you’re reading in all the surveys and the paper, the first half of this year could be slow and people hope things are going to pick up in the second half. I’m not hearing anything out of the ordinary in that regard from our customers. There’s really not much insight simply because you don’t know if and when another shoe is going to drop that will disturb the economy and that’s the big unknown. With regard to the second part of your question, I have nine days worth of data for January. Through the first nine work days our bookings are off 7.5% from last year and our billings are off 10% from last year. So, if you average the two it gives you probably a pretty good proxy of where the month is going. We’re about 8.5% off on a per work day basis. That’s 3% better than December. Now, does that mean things have gotten better? I really don’t know because with the long Christmas break and New Years, people may have had to catch up quickly or it may be a pick up. But, the numbers are the numbers and when you average the two we’re about 3% better than we were in December.
George Staphos – Bank of America Securities: Paul, when you look at inventories maybe two questions again one macro and one more micro, at least sector specific within container board. What you’re saying suggests that your customers are likely to continue to take their inventories down and then perhaps consumption –
Paul T. Stecko : Well, I didn’t say that.
George Staphos – Bank of America Securities: From the consumer is holding –
Paul T. Stecko : George, I didn’t say that. I never said our customers were taking their inventories down.
George Staphos – Bank of America Securities: Not of your boxes but of what they have in the supply chain to retailers.
Paul T. Stecko : I didn’t say that. I’m not say it’s true or not true. I really don’t know. My own guess is they’ve got their inventories where they need to be and they are just matching their supply with demand. So, I don’t think we’re going through an inventory reduction, I think people are there already and it’s just matching supply and demand. That’s my opinion because I don’t know for certain.
George Staphos – Bank of America Securities: Within container board and then I’ll turn it over, we’ve got production down whatever 300,000, 350,000 tons, exports are obviously not doing that great right now, you’ve got a day or two –
Paul T. Stecko : George, you said they’re not doing that great, they were only off 18,000 tons November over December. To me, that was a surprisingly good number.
George Staphos – Bank of America Securities: Directionally, they’re not as strong as where they had been but, I guess the point I’m getting at is you have an extra day or two of cut up, you have production down, could inventories drop in the system 100,000 or 200,000 tons in December when we’re all said and done?
Paul T. Stecko : The data that is out so far and we only have certain amounts of it is we know the production is off, I don’t have the numbers in front of me but roughly 350,000 tons. In exports, when you take them, that’s probably 20,000 that they’re down so knock 20,000 off that number, you still get to a net supply down 330,000 tons. Now, you’ve got to guess where demand is and the only data point that I have is our demand was up 6.5% in December versus November. That was driven not by per work day numbers but by the fact as you said there were two more days of production. But nevertheless, our cut up was up 6.7% in December. Now, if the industry follows that and I don’t have any idea if they will then that would translate in to increased demand of 130,000, 140,000 tons. You add those together and taken together you get up to a number like 400,000, 420,000 tons and then you’ve got to adjust by the fact that inventories went up in November so that knocks about 80,000 off. But, I think it’s possible again, if industry numbers are compatible with ours and they have been actually a little bit better than ours the last two months. Then, it could be a 300,000 plus number. But, we’ll have to wait and see. There’s also year-end adjustments made, the way the numbers are done this is when you true up anything. But, we’ll have to wait for the FBA numbers before we know for certain.
Operator: Your next question comes from Mark Weintraub – Buckingham Research.
Mark Weintraub – Buckingham Research: Two quick ones, first of all just on capital spending do you have a budget you can share with us for ’09 yet?
Paul T. Stecko : Sure. We normally spend, and it’s been fairly consistent over the last 10, 11 years, about $110 million a year. Some years we’ve accelerated some projects and spent a little more, some years we spend a little less. From my earlier remarks, we spent about $20 million more this year to accelerate some projects. One of them was that big boiler project at Counce to improve the efficiency on that boiler, it has a very high return. So, next year will be a lower spending year for us. Our target is $90 million which again about $20 million below the norm.
Mark Weintraub – Buckingham Research: Second, can you give us any sense as to what you’re seeing on the pricing side? It just seems like different types of players are coming to market quite differently and I wanted to get your perspective on that. Also, given the fact that you didn’t mention pricing in your first quarter guidance, does that mean that is not a big factor in the delta that you’re expecting to see?
Paul T. Stecko : Talk about pricing in general, I think the one remark I would make is I think in boxes pricing has been pretty stable. I would also say from our perspective pricing in container board has been pretty stable. I think one phenomena that’s occurring that really I think should be considered and dealt with is the fact that with some of the 100% recycled paper, normally, and it goes back a lot of years, when business is real tight, the price of 100% recycled paper will get close to virgin paper. Then, as you get in to a down turn in the economy because of the quality of some of the recycled paper, the price difference could get $30 to $50. I think that is what we may have seen in December that if you read the reports about price erosion it’s been primarily in recycled and the smaller players. I will tell you that the quality difference varies more widely in recycled than it does in virgin. As a matter of fact, we will not trade with some suppliers for recycled paper because the quality is just not up to what we need. So, I really think that we really ought to have a price for virgin paper and the 100% recycled recognizing that some recycled paper is every bit as good as virgin paper, I’m not saying it isn’t but, there is also a much wider variation and where I think a lot of the price cutting that may have occurred is on the lower end in some of this recycled paper. That’s one thing that I think needs to be dealt with. But, in terms of pricing, we’ve taken a guess where we think pricing will be in the first quarter and at this point obviously it’s a guess.
Operator: Your next question comes from Richard Skidmore – Goldman Sachs.
Richard Skidmore – Goldman Sachs: Paul, can you talk about how you’re thinking about the dividend currently as well as your cash balance given the current financial market situation?
Paul T. Stecko : Well, I’ll tell you what I’ll let Rick take the first part on cash balance. Before I do that, other than our liquidity is quite good and Rick you might want to elaborate a little on liquidity, cash balance, you covered a lot of it but you might want to comment further.
Richard B. West : If you look Rick at the liquidity at the end of the fourth quarter we had about a $325 million in liquidity if you take in to account our ending cash of $149 million and our borrowing capacity on our asset securitization revolver as well as our bank revolver. From a liquidity standpoint going forward, the only thing I would say, traditionally the first quarter has been our highest cash outlay quarter because we pay what annual incentives we have in the first quarter, we also make a semiannual interest payment on both of our notes and then we have a vacation payout payment once a year for a majority of our employees in our mills. So, that’s the major items in the first quarter that are a higher cash payment. But, we ended the year at $321, $325 million in liquidity.
Paul T. Stecko : But, we entered the first quarter which is our highest cash utilization quarter with plenty of cash. So, we feel pretty good about our liquidity. With regard to the dividend, we view dividends as a long term proposition. It’s not something that we’re apt to change our mind about because of one quarter of very good performance or one quarter of very bad performance. A dividend is based on what our longer term expectations are for this business and I would say where our dividend goes will probably correlate better with what happens in the economy and the container board business more than any other single thing.
Richard Skidmore – Goldman Sachs: Would you be willing Paul, if for whatever reason your cash earnings in a given year were less than a dividend, would you be willing to use some of that cash balance to maintain the dividend through what would be the tough part of the economic cycle? And, if so would you think through doing that for a year or two years, maybe just a little bit of color around that?
Paul T. Stecko : It depends. It depends on how bad I thought things could get and how long it would be. Obviously, if things were going to be bad for another three months that’s one thing, if they’re going to be bad for another three years that’s something else. But, in terms of getting more precise than that I’m not going to do that.
Operator: Your next question comes from Mark Wilde – Deutsche Bank Securities.
Mark Wilde – Deutsche Bank Securities: A couple of questions, it seems like the big delta in your volume is really those outside sales. I mean your box shipments which are mostly your volume, down about 10% and your mill production down about 15%, can you talk about that big drop in outside sales? Then, can you also just update us on what you figure the effective capacity of the mill system is right now? I think when you came public it was about 2.1, 2.2 million tons and based on the figures in release it would look to me like it’s about 2.45 million tons?
Paul T. Stecko : You’re in the ballpark. It moves around, 2.4 to 2.45 that’s the range. I don’t have the exact numbers in front of me but it’s in that range Mark so I think you’ve covered it. So, I’d say between 2.4 and 2.45. With regard to outside production, it’s such a small part of our business, only 20% of our sales are outside so it magnifies the percentage change because the denominator is much lower. But, I think our outside business has moved in relatively normal proportion to our box business. You’re just seeing the miracle of a smaller denominator here.
Operator: Your next question comes from Claudia Hueston – J. P. Morgan.
Claudia Hueston – J. P. Morgan: I was just hoping you could give us some color on the tax rate, why it was lower in the fourth quarter and then what rate we should expect for 2009?
Richard B. West : Normally at year end we reconcile all of our state tax rate and our apportionments and there was a larger than normal adjustment to that state tax rate and apportionment that we normally see and that’s what drove the rate down in the fourth quarter. We would expect more of a normal rate going forward in the 38% to 38.5% federal tax rate for an effective tax rate.
Claudia Hueston – J. P. Morgan: Then just on chemical costs is it mostly caustic soda that you’re still seeing pressure on? Then, what are you seeing in terms of the other chemicals?
Paul T. Stecko : It’s predominately caustic soda. There are a few other things that are still up there but 80% of it is caustic soda.
Claudia Hueston – J. P. Morgan: Then just finally, on the maintenance at Valdosta, I think last year it was maybe about $0.03 or so, with the outage being longer but with costs being a little bit lower because of labor and other things, how should we think about the impact of the outage there?
Paul T. Stecko : Well, that’s a hard thing to come up with this year because you can’t look at it in isolation this year as we always could because we took it down, you knew how many tons, it was all related to the outage. But, since we anticipate some market related down time you’ve got to combine the two. But, net/net we’re taking out 22,000 tons. You’ve got to break that in to two pieces: market related; and what it would have been anyway. We just don’t have that number available. It’s kind of irrelevant any way when you’ve got a fair amount of market related down time. In a way you could say the down time or the outage isn’t costing us anything because we probably would have taken market related down time anyway. So, it’s kind of a phantom number this year.
Operator: Your next question comes from Mark Wilde – Deutsche Bank Securities.
Mark Wilde – Deutsche Bank Securities: Just one other cost issue Paul, can you walk us through with oil prices down, as diesel prices come down how that affects your cost? It would seem like it’s got to drop the cost of bringing wood in to the mills and then it’s also got to drop your outbound freight.
Richard B. West : Well, to give you a perspective what it does to us Mark, in the third quarter we looked at fuel transportation costs compared to the third quarter of last year and it was $0.03 higher and in the fourth quarter it was only $0.01 per share higher. So, you’ve got a $0.02 per share delta improvement. I do see that being better in the first quarter also, it’s not a dramatic amount but probably a $0.01 or so.
Mark Wilde – Deutsche Bank Securities: Do you have any kind of rule of thumb Rick when you kind of look at your wood cost going in to the mill? Like what percent of that really is diesel fuel?
Paul T. Stecko : Yes, it’s about a third and probably got as high as 45% when oil hit $4. Normally you think of it as about a third, a third, a third; a third stumpage, a third fuel and a third labor to cut the wood and bring it to the mill. I think we’re back now to a third, a third, a third but the problem is with the turn down in building products you have to go a little further out to get wood. The stumpage may not change and the gasoline price may be down but you’re driving further so that increases your wood cost a little bit. So, you’ll get some fuel savings but you’ve got higher distances and that offsets it some. But, we did say on the call that we saw our wood cost down 4% in December at a time they usually go up so hopefully this trend will continue and we could get potentially a little more in that area as you point out.
Mark Wilde – Deutsche Bank Securities: With so many mills in the industry taking down time and some mills just closing permanently, is that affecting your wood prices much?
Paul T. Stecko : We think that contributed obviously to the 4% reduction especially in December when there was a lot more down time. Roughly I think, just my guess looking at what I read in the reports, about 50% of the down time the industry took was in December and the other 50% was spread over two months. I think it really hit harder in October and I think that’s why we did see some pick up and reducing costs in December.
Mark Wilde – Deutsche Bank Securities: Finally, is there any update in that biofuels refinery?
Paul T. Stecko : It’s coming along.
Operator: Your next question comes from [Andrew Fineman – Aradion Asset Management].
[Andrew Fineman – Aradion Asset Management]: Rick, I just wanted to ask you if you could tell us what depreciation and amortization was for 2008 and what it might be for 2009?
Richard B. West : In 2008 Andy it was about $148 million. We haven’t looked at it totally but I don’t see it changing appreciably from that number in 2009.
Operator: I’m showing no additional questions or comments at this time.
Paul T. Stecko : Thank you everyone on the call for participating. I hope my voice wasn’t too difficult to put up with. I’m sure it will be better on the next call. Talk to you again in three months.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.